Operator: Ladies and Gentlemen, thank you for standing by. Welcome to the Micronet Enertec First Quarter 2015 Results Conference Call. All participants are, at present, in a listen-only mode. Following management’s formal presentation, instructions will be given for the question-and-answer session. As a reminder, this conference is being recorded. I like to hand over the call over to John Nesbett of IMS. John, please go ahead.
John Nesbett: Good morning and thank you for calling in to review Micronet Enertec’s First Quarter 2015 Results. Management will provide an overview of the results followed by a question-and-answer session. Importantly, there is a slide presentation which management will use during their overview. The presentation can be found on the Investor Relations section under events and presentations. You may also access a PDF copy of the presentation by clicking the link in the Company’s press release regarding these financial results issued this morning and then clicking a second link labeled May 14th presentation. Callers accessing the PDF copy of the presentation will need to manually scroll through the slides as management go through the presentation. I will now take a brief momentary to Safe Harbor statement. During the course of this call, management will make express and imply forward-looking statements within the Private Securities Litigation Reform Act of 1995 and other U.S. Federal Securities laws. These forward-looking statements include, but are not limited to, those statements regarding our growing presence in the local fleet vertical, anticipated orders from certain customers, the timing of pending U.S. Federal rule making and the impact of the proposed rules on our business, our expectations regarding diversifying and strengthening our customer base and our future profitability. Such forward-looking statements and their implications involve known and unknown risk, uncertainties and other factors that may cause actual results or performance to differ materially from those projected. The forward-looking statements contained in the presentation are subject to other risk and uncertainties including those discussed in the risk factors and also in the company’s Annual Report on Form 10-K for the year ended December 31st filed with the SEC. Please note that the date of this conference call is March 14th, 2015 and any forward-looking statements that management makes during are based on assumptions that are reasonable of this day, expected as otherwise required by law, the company is under no obligation and expressly disclaims any obligation to update or alter its forward-looking statements whether as a result of new information, forward events or otherwise. During the call, in addition to the GAAP financial measures, management will discuss non-GAAP financial measures as determined by the SEC Reg-G including non-GAAP net loss income. These non-GAAP measures exclude both share based compensation expenses and the amortization of intangible assets, as well as non-recurring items. These non-GAAP measures are not intended to be considered in isolation from a substitute or other or superior to our GAAP results and we encourage you to consider all measures when analyzing Micronet’s performance. A reconciliation of these non-GAAP measures to the applicable GAAP measures is included in today’s press release regarding our quarterly results and can also be found in the Investor Relations section of the Web site. The slides containing the first quarter reconciliation can also be found in Investor Relations section of our Web site. On the call this morning, we have David Lucatz, Chairman, CEO and President; Tali Dinar, Chief Financial Officer; and Shai Lustgarten, CEO of Micronet Limited. And again, as a reminder, management will be referring in to a slide presentation that could be accessed via the Investor Relations section of the Company’s site or the link in the press release. Okay with that I will now turn the call over to David who will begin the presentation on Slide 4, please go ahead David.
David Lucatz: Thank you John and good morning everyone. We start with Slide number 4, on the MRM side of our business, our first quarter was characterized by the introduction of our new Android All-In-One wireless platform. The new All-In-One tablet represents a real breakthrough for the industry. Most of the systems installed so far required installation of two units in the car. Our tablets and an additional black box made and another vendor that contain basic connectivity in telemetric features. Our newest All-In-One technology makes this additional expensive black box and an additional inspiration are necessary. Moreover our tablets allowed wider interface and provide operational and connectivity features combined with the Android operating system which offer a unique powerful tool for fleet management and many other mobile logistics enterprise needs. We offer for the first time, a connected simple purpose solution. The unique connected solutions provided to the Micronet All-in-one tablet which provides input in data for both the vehicle different center and vehicle computer and back and several of customers through 3.5G/4G LTE, Bluetooth and Wi-Fi applications. This unique product is getting massive interest in the marketplace in a short period of time. As you know, Verizon certified the product and we secured $4 million purchase agreement just after the quarter with the U.S. School Bus Fleet Management company which is clearly in our local fleet target market. That said, our revenues during the quarter reflected conditions with the new product line as customers are interested in the new line and are currently adapting certifying and evaluating the new All-In-One tablet that provides a much better solution for the huge MRM market. We did see line difference growth in MRM quarter but we expect accelerated growth as our new lines penetrated the market. We continue to grow and diversify our customer base 84% of our revenue in the first quarter 2015 were generated by new customers and we are in advance discussions with many more. Our gross margin what we are seeing our target margin range and we are extremely encouraged by the progress, the new product line is making. Finally, the quarter continue to reflect two positive trends that we have seen in our business over the past few quarters. One: our customer base is much more than anticipated and two the local fleet which is the largest MRM vertical is becoming the largest portion of our sales. Moving to slide number 5. The next slide illustrates our revenue breakdown for the quarter. Although on a consolidated basis, we saw a slight revenue growth over the same quarter last year, yet the entire growth came from a variety of customers with our Q1 of last year was based on one major customer. Sequentially, compared to Q4 MRM and consolidated revenue decreased mainly due to the transition to the new product line. We have also seen some seasonal effect in the ordering habits of the service provider that come us as new events. In addition, the aerospace and defense division were down slightly from last year. The aerospace and defense is a solid contributor to the business and services key market niche in the A&D sector, our customers continue to seeking mutual defense solution in the scope of international unrest and the threat of missile attack. Moving to slide number 6. On slide number 6, I want to spend some time discussing our next generation product line. Our A-317 is a very exciting product launch for us in the industry. Of course the new product is rugged and [indiscernible] but what is exciting is the transforming our operating to a totally connected solution. The product offer such capability, 4G LTE, Bluetooth and Wi-Fi applications to name just a few, it is in our view the best solution in the marketplace and while just being launched the level of customer interest supported. In slide number 7, provide us an overview of our roll out, the product R&D for the new product line is essentially completed. The product is [indiscernible], there is an ongoing [indiscernible] with partner and customers given the custom nature of the product. We are currently prevailing in the next phase of current sophistication as well as fixing and approval. It is important for us to be certified with the wireless carrier and we have completed this process with Verizon. AT&T is currently evaluating the product and we are encouraged that we will reference certification soon. Finally, we are in discussion with other carrier to hopefully move along certification. The other carrier certification we have those products in the field with valued customers who are adapting the products. The feedback so far has been excellent. Currently given the higher than anticipated interest in the product, we have been a little short of starting product for customers who want to evaluate the solution the field. Finally the last paid this customer ordering the product. We have secure our first substantive pre-purchase agreement from a leading school bus company for $4 million in the first year, we start number likely being higher than year two and year three. Furthermore, we are in active discussion with additional and major potential customer. We expect that the second quarter may see additional revenue, but we likely feel it would be in quarter comfortable by the condition to the new product. Revenue from the new product should be as it’s like in the back half of the year. I will now turn the call over to Tali for the financial review.
Tali Dinar: Thank you, David. As you can see on the slide 8, revenue grew slightly over the same quarter last year, while gross margin increased, it is within our target gross margin rate and consistent with the fourth quarter of last year. R&D was flat as percentage of sales and we expect that this percentage will go down as sales grow and as we progress data complete the product development trend. Both sales and marketing and general and administrative expenses increased given the investment we have made in driving and preserving for growth in the near future. Hence our net loss attributed to MICT increased to $705,000 as compared to $335,000 in the same quarter last year. Our share count remains consistent with the last year. On slide nine, you will see that on a non-GAAP basis our loss was $456,000 versus $307,000 last year. Of note during the quarter, we had $189,000 in amortization related to acquire intangible assets. On slide 10, you can see that our balance sheet remains strong with $12.3 million in cash and cash equivalents, $15.3 million strong positive working capital and $19.3 million shareholders equity. Importantly during the quarter, we also pay down the last portion of our UTA debt. I will now turn call back over to David.
David Lucatz: On slide 11, we present Electronic Logging Devices or ELD mandate opportunity. This is a potential catalyst for our company that I’m not sure all of our investors are familiar with. By way of background, fleet drivers are required to keep record of hours of service. For example, fleet drivers may not drive more than 11 hours per day and are required to take rest periods. Historically, these records were kept in paper logbooks, but those are being replaced by ELDs, which connect the vehicle engine. In July 2012, the U.S. Congress passed legislation requiring ELDs. This legislation requires the Federal Motor Carrier Safety Administration or FMCSA to adapt rules implementing this requirement. The FMCSA is expected to issue final rules under the legislation in September which enforcement beginning two years later. Essentially, this is expected to increase the amount of ELD-equipped trucks of 0.5 million today to approximately 2.6 million. Given our position in the vehicle market, we believe there are opportunities for us to potentially benefit from this law and we are working hard to make sure our customers understand the requirements and are aware that we have the appropriate solutions for them. Finally on slide 12, I just want to recreate some of the long-term trend of our favorable to MICT. First in our MRM business, the local fleet vertical, which now comprise the majority of our MRM revenue is growing rapidly. Additionally, our Aerospace and Defense business is a leader in solutions for critical missile defense systems. And given the international climate, the need for the technology remains steady. In the near to medium term, we expect to continue to build on the momentum we have been seeing from strong market demand for our solutions and to continue to diversify and strength our customer base. With continued sales growth and the introduction of enhanced product, we expect to continue to March towards enhanced profitability. I will now turn the call over to questions. Operator?
Operator: Thank you. Ladies and gentlemen, at this time we will begin the question-and-answer session. [Operator Instructions] The first question is from Michael Vermut of Newland Capital. Please go ahead.
Michael Vermut: Can you just go into a little bit more detail as to, I understand you’re working with the horizon trying to get sort of how the AT&T. But whether you’re working on when you stand with getting into the big software providers for over the road trucks regional the omni-tracks, the XRS keep on that the mix. All the large players there to sole source Micronet device? In my mind that what’s going to change the landscape for the company once you secure those?
David Lucatz: Michael, thank you for asking the question. First of all, I truly agree with you. Let me ask Shai the CEO of Micronet to have this, an advantageous question.
Shai Lustgarten: So you’re totally right, I mean there are two directions that we need to approach aggressively and exactly what we’re doing for some time now. We were talking not only to the large service providers, Pepolenet, Omnitracs and et cetera and behalf all of these companies you mentioned and additional close to additional 19, additional companies the most leading and largest in the market are today using our development tool kits to actually adopt us and certify us, hopefully as sole source like you mentioned, but still we’re working on that very hard. And they’re running their software and our devices or at least trying to or in the initial penetration, but we are talking to about 20 of them. And then in addition to that the second duration, we are aggressively approaching as well to speak to the largest carriers and we have strategic dialogues with them. Of course they also are working very hard to provide their own internal solution as well to offer the market as soon as this mandate goes into effect and we are in discussions with them as well. So basically, we’re working always to make sure we are there.
Michael Vermut: Great. Now would you be surprised, if you didn’t get into or certified with a significant number of these software providers?
Shai Lustgarten: So I think, I would be surprised if we don’t get it done because with some we’re already in very advance stages. So there is no risk forward with others we’re initially starting but still doesn’t look to me why most users while others won’t. So the technology we’re offering to the market today response by all means to all the technical requirements of the mandate. We’ve done with make sure, this is the case by introducing our new product. All of them have all the capabilities and all the requirements to be suitable to the mandate. And I think that’s why we see success with already some of the customers you mentioned.
Michael Vermut: And then one other thing when you send your test kit over to them, are you competing with other providers or is it mainly you’re going against internal hardware?
Shai Lustgarten: We compete both, but in each case you know exactly why you’re better and we trying all the time to prepare ourselves I mean focused on our added value, which I think is a significant in the market today especially you heard that what David said prior to your question. So we are introducing added value technology to the market today, all in one connected products so all of three-family of product which the A317 is the only the first one there. All of the three-family of products the new one really made Micronet the connected company and I think that was make this initial A317 an immediate success.
Michael Vermut: And one other question, I know you got the large school bus order. So you also going direct to the large fleet side, the Schneider, Swifts, I think Warner has their own product already Hartland, the large public and private fleets as well as, I guess larger local fleets directly or do you have to sell it through the Horizon the Omnitracs. How are you approaching that?
David Lucatz: Currently, we approach it through the horizons and all the service providers out there.
Michael Vermut: So we should start seeing some of these announcements or partnerships occurring over the next few months into this summer?
Shai Lustgarten: I’m sitting right here and next to the guide that if I don’t do that then maybe I won’t seat here anymore. So I got to make sure that we got.
Operator: The next question is from [indiscernible] Partners. Please go ahead.
Unidentified Analyst: Speaking of the school bus contract, could you give us a little color around the revenue structure for that contract I understand it could exceed 4 million in the first year, but just trying to thinking about how to think about it going forward?
Shai Lustgarten: So basically the structure is very simple, we actually look at maybe this amount is about 50% of the potential without specific customer, but it’s in initial stage and initial agreement. The agreement in total for three years. The total amount that was announced is for the initial year, like you just mentioned. And of course there were two things that are going to all favor in looking positively and growing that amount one of course is the fact that we did approach and currently got only 50% of the potential without customer. And secondly of course is the potential of our product and the status, it will be adopted and it gives us more chances and growing that amount as well, in the second year and then the following year after.
Unidentified Analyst: Okay, understood. And then if I can just ask one question operationally, could you give us a quick update on how the U.S. integration is going?
David Lucatz: Basically we are working according to our trend. We did see some delay in the education and operation side. On the marketing and sales side, there have been extremely good actually we’ve been even behind schedule. So at this very moment all the market is run and managed directly from Rio’s operation. On the R&D side, we still working, we’re working according to the plan, the majority of R&D is still then initial, but part of it is already done in the U.S.. Operationally back to your question was to working on synergy in a merger or two size a little delay but we believe will be able to overcome with it shortly.
Operator: [Operator Instructions] The first question is from [indiscernible]. Please go ahead.
Unidentified Analyst: Okay. Could you please tell us what was special using your technology and what is use now by companies like Fleetmatics [indiscernible] how do you compete with that? Thank you.
David Lucatz: It’s a very good question. Shai please handle this.
Shai Lustgarten: Well, the technology that we are actually introducing and like what stated of course it is a first fit-for-purpose connected solution. Actually what we viewed and we saw in the market is a very simple trend, everybody, in every car, in every vehicle, they need to have some type of screen especially now we’re in the MRM world, the world and market that we’re leaving. But that’s exactly for the driver interface. But the connectivity cellular, Wi-Fi, Bluetooth was always done through a black box, which was another piece of hardware in the car installed, separately installed. And then that box was responsible for conducting all the communication to the backend servers of our customers through under application and services to the fleet outer. We thought that is limiting. That’s limiting the customers, that’s limiting the logistical management of each vehicle and it shouldn’t be that way. Everybody are looking into and only in one solution and that’s exactly what we provided, what we did it to integrated immediately very fast, that’s one of the strength that we have been how due to the fact we have all the design capabilities and generating and et cetera. So well we did as we just put everything inside our tablet and made immediately and only one fit-for-purpose solution behave and that’s exactly like each smartphone or commercial tablet, but designated for the market really been. And that way, we eliminated the requirement to use two hardware boxes. And that’s why in one meeting we were able to get just this great, great deal and the group purchase agreement that we just announced. So basically our tablet today offers a full connected solution to our customers, not limited by bandwidth, like exactly it was before and enables our customers to sell even more application and services to their customers. So our fit-for-purpose connected solution today is unique in the market, we see great interest from all customers technologically, it offers a better connectivity solution to our customers enables them to be online all the time and have a full online driver interface and sell more services to their customers like I mentioned. And of course economically, commercially, we’re looking at a huge interest from our customers, because of the fact that we eliminated the requirement to use two hardware. Now you have only one hardware, one simple installation and everything works better and faster.
Unidentified Analyst: [indiscernible]
Shai Lustgarten: Okay, could you please just repeat, it was broken, the line was broken?
Unidentified Analyst: You saved money to the client, secondly what makes it different from any other tablet, commercial tablet?
Shai Lustgarten: So the commercial tablets in, the main differentiator, the most simple differentiator and main differentiator between our products and why we called its fit-for-purpose is basically a commercial tablet or smartphone other doesn’t you know it’s the vehicle is on and off with the ignition is on and off. It’s not even connected to be vehicles campus the computer of the vehicle. Our tablets that serve our customers in our market have to know and the vehicle is operated when we have to know how to pull all the data from the campus and the computer of the vehicle and we are connected also to all the centers of the vehicle. And by that we know when the door is shut or open when the vehicle is on and off like I just mentioned. And all other data that our customers need online all the time to be able to run their services. And simple commercial tablets aside from the ruggedness that is required, but technically they cannot response to this requirement but through in all-in-one solution and that’s why we are delivering a very unique and exciting product.
Unidentified Analyst: Can you elaborate having computer software, I don’t know how they use their [indiscernible]?
Shai Lustgarten: Again could you please repeat again the line was a little broken?
Unidentified Analyst: Could you please elaborate a bit how compete with which use now by companies like Fleetmatics and others?
Shai Lustgarten: So I don’t want to mentioned too many names, but when we look at the rate competition, when we view that the rate competition before that’s, we saw exactly what is offered to the market which was – if you use the company companies you mentioned again is Black Box, there is inside a vehicle connected to the computer of the vehicle to the Canbus to the different centers and using also whenever a driver interface is required using also a screen, some sort of the screen it could be either rugged tablet any other type. So it was always a two piece solution, always. Today you are able with our solution and that’s what differentiates us from the competition. Today you are able to use a one All-In-One solution, one hardware, one simple installation late for cost if you compare to the alternative in the market and also much faster in connectivity and online connectivity to the back-end servers of the customers.
Operator: The next question is from George Melas, MKH Management. Please go ahead.
George Melas: I just want to ask a question that elaborate on the previous caller. I’m not sure exactly what you mean by eliminated one piece hardware. Traditionally at least in the long haul, you’ve had sort of a device that connects to the base of the truck then that is connected to the device through the screen and then the screen is connected dongle which is sort of provides the connectivity. Which piece of hardware are you eliminating? Are you eliminating the one that connects to the base and you actually do that then yourself?
Shai Lustgarten: Yes George, how are you? Yes of course, that’s exactly what we mean. We don’t need a two piece solution anymore, any longer. Our device is connected directly to the canbus we don’t need another piece of hardware to stand between our tablet and the canbus and the additional sensors in the vehicle. We do that directly through the tablet and we communicate directly from the tablet to the back-end servers of our clients.
George Melas: So of course you eliminate, so you also eliminate the need for dongle because you have a direct 3G, 4G connectivity. How do you eliminate, that I understand because it’s like a tablet or like a cell phone. How do you actually eliminate the device that connects to the base of the truck?
Shai Lustgarten: By connecting through a design, a special design harness that does a direct connectivity to the canbus and the additional sensors of the vehicle. We have designed that and we’ve manufactured it of course and then and we just do it directly. We have all the components that are today in the Black Box. We have them in our tablet and the only thing that we needed is to do the direct connectivity to canbus and the sensors and that’s exactly what we’re able to achieve.
George Melas: And how do you do that connectivity with the canbus? Is it a wire or is it, how do you do that?
Shai Lustgarten: We just with the, as I said with harness or any other cable that you can think of but one that is specifically designed to do that work which we did the design of course in-house. In addition to that by the way we have some additional solutions going forward to even to do that wireless.
George Melas: Okay and does that connectivity and I don’t mean the connectivity from the device to the base but to pull the data from the buss and from the various sensors in the vehicle, is you’re your IP or you are congruent with somebody else that – and you incorporate the technology or solution?
Shai Lustgarten: Thank you for that question George. It’s our IP, it’s our knowhow, it’s our technology and furthermore if I can add to that is we also have developed some applications and software that enables us to wrap up the information and data we pull out of the sensors and vehicles and wrap it up protocol that we designed as well and one that is universally can be in direct communication with the servers of our customers. So we’ve done not only the hardware design, but also the software and additional applications designs.
George Melas: And then let me just ask a couple more questions along those lines. Can you then connect to engine and the sensors in a school bus, or in a canvas truck or in PWL truck, is this do you have to do them one by one because they are all different and you need to build this kind of integration or is it simpler than that?
Shai Lustgarten: It depends on what type of vehicles you’re speaking about, there are two types, we call them for instance [indiscernible] to the technicians which is the majority and the additional once are the heavier ones and there are different standards when you do – when you talk about that there are different standards like the RBD2 and the 1939 and 1708 and we kind of divide it to 1939 and 1708 is one segment and the other one is OBD2 which require more customizations but currently we’re able to respond to both groups of standards and we do have the knowhow as well in case we need additional customization. We do have the knowhow to do that as well. And we don’t need currently to partners with anybody, we do it in-house.
George Melas: And does that open up a new market which would be the owner operated market or is it too complicated for an owner operator to install themselves in their truck?
Shai Lustgarten: It does assist us to penetrate faster if I understand your question correctly, it does assist us to penetrate much faster and grow our market potential within the local fleet vertical.
George Melas: Okay but imagine that I have five trucks right, would I know and I’m not very technical but I have five trucks would I know how to install it myself or does it require a technician or somebody to do it?
Shai Lustgarten: You would need always -- in our world if you don’t have technicians in-house you would need technicians to be able, the installation is a very -- it’s not complicated in our terms it’s very simple, sometimes can even take only half an hour but and we’re known for that but we can take care of that ourselves for you if you have the five trucks and I’ll be happy to take the details and come in that work for you.
George Melas: I’ll have to buy five trucks. I’ll let you know.
Shai Lustgarten: We do have introductory pricing right now in this call so we’ll be happy to take this further.
George Melas: Just a question on, so the future looks very bright, the quarter was sort of light I’m not trying to make lines here why was the quarter so light because you have burden you have the Micronet, did you have any sales to Peoplenet or the other two divisions of Trimble, how is that going?
David Lucatz: Well, hi George it’s David. First of all, light or not light it’s really, it is a very subjective but we feel very comfortable with the quarter especially in the near sense if you look at the numbers we managed to achieve the growth in the first quarter whereas if you compare to the last few quarter 80% or 85% of the revenue came from one major customer and today all the revenue and the growth attributed to several, minimal 8 to 10 big customers and additional 40 other customers so basically it’s a completely different company which has much better customer base. Second point which I want to emphasize is that we do see a sequential trend in this market. Meaning that if you look back two years, second half of the year is historically or traditionally was much better, we attributed by the way part of it to the fact that the service providers who tend to be our major customers they are for some reason preferred to buy and to get that equipment towards the end of the year and then we see the effect on the first quarter. So basically it’s a combination of I would say three factors, factor one the sequential issue two the fact that we are moving to the new duration, production duration and sometime, some of the customers prefer to wait until they get the new product eventually and this also affected the number and third that we have all this revenue plus and growth based on completely different customers.
George Melas: And then a question for Tali, Tail can you give us the cash that held by the corporate and how much of the cash is held by the Micronet sub and also the same for the debt?
Tali Dinar: So as of today, it was 1.2 million, 7.7 is related to the MRM and the rest is the aerospace and defense and Micronet Electronics and the debt was decrease partly due to decrease in the MRM repayments of loan of fibi loan and also the repayment of UTA of course.
George Melas: So how much of the debt is held by MRM?
Tali Dinar: 3.7 out of the 13.5
George Melas: Okay and David have you seen the aerospace and defense business looking this year, do you expect it to be somewhat similar to ’15?
David Lucatz: To ’14 you mean probably, right?
George Melas: Yes.
David Lucatz: Yes, we think we expect to proceed both in the aerospace division and we expect to see a better yield in aerospace division as compared to ’14.
George Melas: Any specific factors behind that?
David Lucatz: I wouldn’t go into numbers but necessarily we see the growth, we already see the trend in the market and we see -- in addition to the very stable and strong factors, we see the potential for additional product we are involved in and the reason I don’t want to quote numbers is that especially in the aerospace defense, where the [indiscernible] most of the products are long terms products and some of very long, sometimes it really depends when you gets the orders so if you know if you know sometimes get into delays with two or three months, it really kind of affect your revenue per yield but basically if you look at the trend and the direction it looks positive.
Operator: Next is a follow up question from Michael Vermut. Please go ahead.
Michael Vermut: Couple of quick follow ups here. So like the deal that you struck on the bus, keep on I guess just announced a couple of months ago a deal with [indiscernible] to go on I believe it’s kind of worth of few lines of trucks, so is it that they are going to be installed in each one of their trucks, are you pursuing that avenue whether you’re approaching the Volvo, the NavStar, Daimler, if you get in with the OEs so that you are placed in the truck upon production?
Shai Lustgarten: Yes sir, of course. We are doing that, we had discussions with three major OEMs today, our tablets are in pilot with three major OEMs, not only in the U.S. one in Europe, one is Asia and one in the U.S. which will allow us to be hopefully at the end of the day what we’re trying to do is to be Micronet ready within each of these OEMs and that’s the main focus in the discussions with the OEMs.
Michael Vermut: Would you be sold or would it be an option upon the sale of the truck that, is that what it would be?
Shai Lustgarten: Yes that’s exactly one, yes.
Michael Vermut: Now, do you have to do that with a software provider or would you just go in the truck and then select the software?
Shai Lustgarten: There you go, either they have their own software or they choose the software regardless, we are there.
Michael Vermut: Now, when the ELD mandate hits, it’s supposed to be September demand in the industry over the next two years pretty much has to go up six-fold do you have and I know you said earlier that you had some capacity issues meeting demand for the kits, do you have enough capacity between Israel and Salt Lake to meet this production or how should we look at that and also on your plan what are your plans with the manufacturing capacity between the two?
Shai Lustgarten: Well I’m not sure if I understood you correctly, but if I did, we don’t have any limitations in capacity to respond to whatever requirements. We know the numbers we have two production facilities and we don’t see currently any limitation in production or assembly or testing or qualification, any limitation in the operational side of the business currently nothing if we speak about responded to the market requirements when they feel the mandate it.
Michael Vermut: And then last one once your integration is complete and I guess you could kind of hit that question first when you expect to have the full integration completed but the second part of that what would your breakeven level be, I guess cash breakeven level on a revenue basis?
David Lucatz: You’re talking about breakeven in terms of in the number of new sales of revenue, what the revenue was?
Michael Vermut: Revenue. Once the full integration is done, what would – because you’re close you’re not far off now, right I guess you generated cash last quarter at 10 million you lost 800,000 roughly maybe a little bit more at five than half a million and you haven’t finished the consolidation yet so once the consolidation is done what should that breakeven level be?
David Lucatz: The breakeven number is give or take $1 million is going to be around $20 million annually.
Michael Vermut: 20 million per year?
David Lucatz: Yes annual yes per year.
Michael Vermut: Wow. Okay.
David Lucatz: Wow, you mean good or bad?
Michael Vermut: So theoretically upon consolidation if you have another quarter like your prior two quarters, those are nicely profitable quarters?
David Lucatz: Well firstly again given the fact that we complete the acquisition and I mean acquisition and merger and consolidation and as I told you that probably takes, it takes time even longer than we expected but the bottom line once we reaches this number and again it might be a little more but we are pretty much in this range.
Michael Vermut: And then would you expect that to be finalized second quarter or third quarter when should the integration be fully completed?
David Lucatz: It would be fully completed by the end of the year however the majority of the transaction going to be completed in the second quarter or third quarter so by the end of 2015 we are going to see a full consolidation as I said it’s a process and based on our roadmap we’re going to do the majority of it in the second and third quarters.
Michael Vermut: And then last question here. So if that number even if you get twentyish million breakeven level and what you see on the play coming second, third, fourth quarter I guess the bus contract kits more orders coming the year itself should be a nicely profitable year?
David Lucatz: Yes, potentially if we reach everything and nothing would happen in the market then we manage to maintain our gross margin and one more thing which I want to add to the question here Michael is, it also depends and vary upon the amount of money we put into the R&D now this is one of the thing which we haven’t discussed and it’s really important to understand to emphasize [indiscernible] as we mentioned in on our new product, some of the product which 3170 only one just one of the, and it’s really also going to affect the revenue and the growth of company, what we call the time to market once we finish and completed the order of the technology and product so the number which I gave you is based upon a certain R&D budget we might clear little with it, it really depends on the again market reaction and the time. So these are basically four factors which can affect profitability. But one thing which you didn’t ask, and asked enough time and let me, use opinion to emphasize it and if you remember you asked in our last call about our gross margin and we told you that we expect 2015 to come back to our normal rate which was 32%, 33% up to 35% so if you can see a considerable sale that managed to do it and we came back to the rate which we expected to have.
Operator: At this point, there are no further questions. Before I ask management to make their concluding statements, I would like to remind participants that a replay of this call will be available within two hours. In the U.S. please dial 1888-269-0005. In Israel please dial 03-9255-941. Internationally please dial 9723-9255-941. David would you like to make any closing remarks?
David Lucatz: Yes in closing I want to emphasize how excited we are about the progress we are making. This progress was not reflected in the financial of the fourth quarter, where we are going through a major product launch which potentially over the time should have a significant positive impact on our business. We have received one very large order from a school bus company in the U.S. for $4 million for the first year, with that number likely trending in the following two years. This order has a potentially for us to increase our market penetration with enhanced solution. The market we are focused on now the local fleet market is huge and growing. Furthermore, our revenues are significantly more, diverse, now as many customers are supposed to be independent one major customer representing at least proportional amount of our revenue like it was the case last year. I would like to thank the devoted team of [indiscernible] and manager and I look forward to speaking with you next quarter. Thank you.
Operator: Thank you. This concludes Micronet Enertec Technologies first quarter 2015 results conference call. Thank you for participation. You may go ahead and disconnect.